Operator: Good morning, and welcome to the Camden Third Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this call is being recorded. And now, I would like to turn the conference over to Kim Callahan, Senior Vice President of Investor Relations. Please go ahead, ma'am.
Kim Callahan: Good morning and thank you for joining Camden's third quarter 2018 earnings conference call. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC, and we encourage you to review them. Any forward-looking statements made on today's call represent management's current opinion and the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden's complete third quarter 2018 earnings release is available in the Investor Section of our website at camdenliving.com and it includes reconciliations to non-GAAP financial measures which will be discussed on this call. Joining me today are Ric Campo, Camden's Chairman and Chief Executive Officer; Keith Oden, President; and Alex Jessett, Chief Financial Officer. We will be brief in our prepared remarks and try to complete the call within one hour. We ask that you limit your questions to two then rejoin the queue if you have additional items to discuss. If we are unable to speak with everyone in the queue today, we'd be happy to respond to additional questions by phone or email after the call concludes. At this time, I'll turn the call over to Ric Campo.
Ric Campo: Thanks, Kim and good morning. I'd like to start with to give a shot at John Kim of BMO Capital Markets for providing this quarter's honorable music. John got the honor by winning our Name That Music contest last quarter. John's theme for the song -- John's theme for the call were songs from 2009 the year the Great Recession ended. Some of you the songs may have sounded recent, to others they may have sounded ancient, probably depends on how you're personally impacted by the recession. John didn't say this but I'd be willing to bet there are few more -- there are more than a few of you on the call today who are still in school in 2009. Time flies when you're having fun and speaking of fun, Camden's third quarter results would qualify as fun. Our onsite teams and our support teams performed better than we had expected with solid revenue growth and great expense control driven by our attacked run rate initiative. Apartment fundamentals remained strong despite high levels of supply in most of our markets. Strong job growth and migration from high cost and high regulatory states has continued to support high apartment demand in Camden's markets. For the year, we have completed $600 million of combined acquisitions and development starts, which is in line with our original guidance. The mix has changed however. Our development starts were $100 million more than our guidance and our acquisitions are $100 million less than our guidance. We effectively traded lower yielding acquisitions for higher yielding developments albeit the timing will be different on those, on producing those yields. With that said, I'd like to turn the call over to Keith Oden.
Keith Oden: Thanks, Ric. Last quarter was Camden's 100th quarterly earnings call. So this quarter begins the next 100. Honestly, I gladly take another 99 just like this one as our results were solid and slightly better than we expected for both the quarter and year-to-date. Same-store revenue growth was 3.1% for the third quarter, 3.2% year-to-date, and up 1.1% sequentially. Our top markets for revenue growth for the quarter were Denver at 4.3%, Orlando at 4.1%, Houston and Phoenix both at 3.8%, and San Diego, Inland Empire 3.6%. Our weakest three markets again this quarter with less than 2.5% growth were Dallas, Austin, and Charlotte, the most heavily supply challenged markets in our portfolio. Overall rents on new leases and renewals are slightly better than planned year-to-date and look encouraging relative to our fourth quarter plan. In the third quarter, new leases were up 3.1%, renewals up 5.5% providing a blended growth rate of 4.2% versus 2.8% in the third quarter of last year. So far in October new leases are basically flat, with renewals up 5% for a blended increase of 1.8%. October occupancy is running at 95.8% versus 96% last October. However just a reminder that last year's October occupancy rate was influenced by the Hurricane Harvey occupancy effect which drove Houston's occupancy rate up to 97.5%. The Harvey effect will have a measurable impact on our Q4 comparisons to last year. Our third quarter net turnover rate fell again to 54% from 55% last year and remains below last year's 49% turnover rate at 47% through the first three quarters. In the quarter move-outs to purchase homes dipped to 14.3% versus 14.6% last year leaving us at 14.7% year-to-date and that compares to 15.2% last year. It appears that the gradual upward trend over the last several years in this metric may have stalled in 2018 at a level well below the historical norm and bears watching in coming quarters. I'd like to thank all of our Camden associates for an outstanding quarter, let's finish strong to close out 2018. I'd like to turn the call now over to Alex Jessett, Camden's CFO.
Alex Jessett: Thanks, Keith. And before I move onto our financial results and guidance, a brief update on our recent real estate and financing activities. At the end of the third quarter, we purchased Camden Thornton Park, a recently constructed 299 unit nine storey community in the Thornton Park neighborhood of Orlando for approximately $90 million. This community is directly adjacent to our existing Camden Lake Eola development providing the opportunity for further operating efficiencies. Also at the end of the quarter, we sold a 14 acre outparcel adjacent to our development sites in Phoenix for $11.5 million. During the third quarter 2018, we began construction on Camden Buckhead in Atlanta. This $160 million, 365 unit development will be the second phase of our existing Camden phase community and will consist of one-eighth and one-ninth storey concrete building. Subsequent to quarter end, lease up was completed at Camden NoMa Phase II in Washington D.C. This $108 million development is expected to deliver a stabilized yield of approximately 8.25% creating over $80 million of value for our shareholders. For 2018, we have now completed $300 million of acquisitions and started $280 million of new development. We are not anticipating any additional acquisitions or dispositions in 2018. Turning to our recent financing activities, on October 1st, we repaid at par $380 million of secured debt consisting of $175 million of 2.86% fully rate debt and $205 million of 5.77% fixed rate debt for a blended average interest rate of approximately 4.4%. The repayment of this secured debt unencumbered 17 communities valued at approximately $1.1 billion. We repaid the secured debt using proceeds from a $400 million 10-year unsecured bond offering which we completed on October 4th. The effective interest rate on this new unsecured issuance is approximately 3.74% after giving effect to settlement of in-place interest rate swaps and deducting underwriter's discounts and other estimated expenses of the offering. After taking into effect these transactions, 79% of our debt is now unsecured and 90% of our assets are now unencumbered. Turning to financial results, last night we reported funds from operations for the third quarter 2018 of $117.1 million or $1.20 per share, exceeding the midpoint of our guidance range by $0.01. This $0.01 outperformance resulted primarily from approximately $0.005 in lower same-store operating expenses due to lower turnover costs, lower amounts of self-insured health care cost, and continued cost control measures, and $0.005 in higher non-same-store net operating income resulting from better than expected results from both our previously completed acquisitions and our current development communities. We have updated and revised our 2018 full-year same-store expense, net operating income, and FFO guidance based upon our year-to-date operating performance and our expectations for the fourth quarter. As a result of actual and anticipated future expense savings, we have reduced the midpoint of our same-store expense guidance by 45 basis points from 3.5% to 3.05% and increased the midpoint of our same-store net operating income guidance from 3% to 3.2%. Last night, we also increased the midpoint of our full-year 2018 FFO guidance by $0.02 from $4.74 to $4.76 per share. This $0.02 per share increase is the result of our anticipated 20 basis point or $0.01 per share increase in 2018 same-store operating results, approximately $0.005 of this increase incurred in the third quarter, with the remainder anticipated in the fourth quarter, and $0.01 of additional non-same store outperformance from our previously completed acquisitions and our current development communities, approximately $0.005 of this increase also occurred in the third quarter, with the remainder anticipated in the fourth quarter. Last night, we also provided earnings guidance for the fourth quarter of 2018. We expect FFO per share for the fourth quarter to be within the range of $1.20 to $1.24. The midpoint of a $1.22 represents a $0.02 per share increase from our $1.20 reported in the third quarter of 2018. This increase is primarily the result of a $0.01 per share or approximate 1% expected sequential increase in same-store NOI driven primarily by a normal third to fourth quarter seasonal declines in utility, repair and maintenance, unit turnover, and personnel expenses, a $0.01 per share increase in NOI from our development communities and lease-up, and a $0.01 per share increase in NOI from our recent acquisition of Camden Thornton Park. This $0.03 per share cumulative net increase in FFO will be partially offset by a $0.01 per share decrease in FFO resulting from a combination of higher overhead cost due to timing of certain corporate related expenditures and slightly higher interest expense as the fourth quarter interest savings from our recent debt refinancing will be offset by higher amounts of debt outstanding and lower amounts of capitalized interest at several of our developments near construction completion. Our balance sheet is strong, with net debt-to-EBITDA at 4.1 times, and a total fixed charge coverage ratio at 5.5 times. We have $793 million of development currently under construction with $380 million remaining to fund over the next three years. As of October 25th, we have no amount outstanding on our unsecured lines of credit and $30 million of cash on hand. At this time, we will open the call up to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question comes from Nick Joseph with Citi.
Nick Joseph: Thanks. Just on Houston, you faced some difficult occupancy comp in 4Q, so hurricanes is trending from a newer lease perspectives and then as you face more normalized occupancy comps next year and I know it's pro forma guidance, but how is Houston looking in 2019?
Ric Campo: Well, it’s -- we are in the process of putting together our bottom-up budgets, so we look at all kinds of different data providers and if you look at what Ron Witten has in his outlook for 2019 in Houston he has got revenues going up somewhere in the 4% to 5% range. We'll see where ours come out, clearly the comp is a tough one because of occupancy in the fourth quarter but that normalizes pretty quickly in the first part of next year on occupancy, we trended back down to about 95% as we expected we would by the second quarter. So I don't think there will be much of that noise in the numbers. Houston continues to do to recover nicely. I think last month we got a report that showed that the trailing 12 month job growth in Houston, Texas was 128,000 jobs. So that's enough to move the needle even on a metropolitan area like Houston. So things continue to recover very nicely. The nice thing is that recent -- up until recently the job growth had been coming pretty much without participation by the integrated oil companies and within the last two quarters that's we've really seen a shift in that, they've begun to hire again their full capacity. So I think that bodes well for Houston's job growth in 2019, obviously we have a very constructive supply scenario for Houston next year around 8,000 apartments that are going to be delivered into the Houston Metropolitan area which is sort of a rounding error in terms of total supply. So if we get another really good job growth here in 2019 which is kind of what's projected in most people's numbers 8,000 new apartments so that's really good math for our business.
Nick Joseph: Thanks. And just on the balance sheet, after repaying the secured debt earlier this month it looks like the only remaining secured debt is coming due next year, how do you think about the use of secured debt as part of the overall capital stack going forward?
Alex Jessett: Yes, we fundamentally believe that we should be an unsecured borrower. So we've got $439 million of secured debt that's coming due in the first quarter of 2019 and our intention is to not take that out with additional secured debt.
Operator: Thank you. And the next question comes from Juan Sanabria with Bank of America.
Shirley Wu: Hi guys, this is Shirley Wu calling in for Juan Sanabria. Congrats on a great quarter, so I think moving to 2019 outside of Houston which market do you believe are set to reaccelerate or decelerate from 2018 that is actually in your higher side markets like Dallas?
Ric Campo: Yes, so again we're in the process of putting together our game plan in all of our markets and obviously we can look at aggregated data from data providers. I think the one that we rely on most on is Ron Witten's numbers and if you look at what Ron Witten has modeled for Camden's markets in 2018 to 2019, he has got total revenue growth for 2018 at somewhere around little over 3.2% and if you look at into 2019 that number goes up to about 3.7% in his high level aggregated number. So clearly Ron is looking for an improvement across the board, a slight improvement about 50 basis points in our entire portfolio. What that means for every each of our individual markets we’ll have to wait and see until we get our -- get the final results and review process for our 2019 revenues we will give you some guidance on in the first part of 2019. But overall, as you just kind of think about the drivers in our business, if you look at employment growth and supply, there's really not a huge difference between the outlook of what's happening in 2018 and what the outlook is for 2019, job growth comes down a little bit across our platform, new completion stay relatively flat, but the change in the ratio of new jobs to completions doesn't really move that much, we're a little bit above five times for 2018 that drops to a little bit below five times for 2019. So overall just looking at the macro data and not drilling down to each individual market which is the whole purpose of our budget process, you would just look at the macro data and say 2019 this should look a lot like 2018 maybe some slight improvements. So we'll have to see how it plays out.
Shirley Wu: That's great. Are there any markets in particular that you might be concerned about in terms of like maybe supply and rent just not in there?
Ric Campo: Well the supply challenged markets that we have right now the three weakest markets that we operate in are Austin, Dallas, and Charlotte, and if you look out at the supply numbers for 2019 there is very little relief coming in any of those three markets, Dallas gets a little bit better, Austin actually gets a little bit worse on supply, and Charlotte is about the same. So I think you can look for us to continue to be swimming upstream on those three markets just because of the headwinds of supply.
Operator: Thank you. And the next question comes from John Kim with BMO Capital.
John Kim: Thanks again for allowing me to be your host music DJ.
Ric Campo: Absolutely, well done.
John Kim: On your turnover rate of 47%, can you comment on any markets that are meaningfully higher or lower than your portfolio average?
Ric Campo: From a historical standpoint, when you look out on, and I don't know have the details of each one but when you look out on year-over-year, you always have markets that have higher versus lower turnover rates but historically if you look at them by comparison, there's nothing that stand out in our portfolio. So we've had 2% difference in the turnover rate from last year and that would be -- that would be consistent across the platform but within that set of data, you've got turnover rates that vary by as much as 7% or 8% up and down from the average in our portfolio, we can give you that data offline if you like.
Keith Oden: And one of the things, I think is interesting when you think about turnover is sort of just the migration patterns of sort of Americans and what's happened over the years and how that's changed. There's really been a secular change in sort of people sort of making moves and wanting to make moves and it's primarily I think because of number one the Millennials are just kind of a different breed of cat compared to the original -- sort of baby boomers and they were always willing to move to a new city to get a job, get a better job than what have you. But today with unemployment rate is low as it is and the competition in the job market it's a lot more difficult to relocate people from their market when they have a home and kids and things like that than it has been. Now you clearly still have out migration from California and some of the other East Coast cities that that's been going on for a long time. But generally speaking people are staying put longer in their homes and in their apartments and they're not moving as fast as they did in the past and I think it’s that sort of secular change in just the way people kind of do everything including taking or getting married a lot later in life or maybe not getting married at all and then also having children later, it sort of moved into the system and now our traditional turnover rates are just not what they were in the past because of that.
John Kim: Thanks for that. Alex, on the senior notes looks like impressive move to lock into 10 year early to reduce the effective interest rate. But can I ask how longer the swap agreements duration for?
Alex Jessett: Yes, so they're 10 years and so we first start entering to them at the end of 2017 and we finished them through the early part of 2018 and so it’s for a 10-year period. So the way it works is net settlement and a net settlement clearly in our favor and then we'll amortize that net settlement against interest expense over the full 10 years.
John Kim: So that 3.7% is for the full?
Alex Jessett: That's correct, yes, so 3.7%, 4% for the full 10 years.
Operator: Thank you. And our next question comes from Austin Wurschmidt of KeyBanc Capital.
Austin Wurschmidt: Hi, good morning. First question so the outset of the year you were projecting DC to be a 3% revenue growth market I believe and you're tracking a little bit below that up into this point and there's been some recent comments from one of your peers, I guess concerning CBD fundamentals in particular, so I was curious without giving 2019 guidance, what's sort of your outlook or optimism for your suburban markets Northern Virginia and Maryland over the next six to 12 months?
Ric Campo: Yes, so DC Metro at the beginning of the year we rated it as the B market and stable which is pretty consistent with where we think we're operating. If you think about the third quarter of this year, our average revenue growth in our portfolio is 3.1%, DC metro was 3.1%. So this is the first time in a while that DC Metro has been in the top half of our revenue numbers, so that's a good sign. For the third quarter, Houston was 3.8%, so you think about our two largest markets DC Metro and Houston are both in the top half of our portfolio and again that hasn't happened in some time. So we're reasonably optimistic about our DC portfolio not only through the end of the year but into 2019. As you all know we have very different footprint than a lot of our other competitors have in the DC market lot of suburban exposure and I think that's served us well for the last couple of years relative to the concept. Obviously we're in a -- we're sort of in a transition in a lot of these markets where a ton of the supply has been more in the urban core. And where we have more exposure in urban areas that's been a negative and our suburban markets have been a positive. My guess is that at some point there -- it’s just based on the decline in new supply that's inevitable and starts that are inevitable in the next couple of years, that that will benefit the urban areas more so than the suburban areas. So overall we're pretty optimistic about where we're situated in DC in 2019 and I look forward to seeing some of that reflected in our DC budgets when we roll them up.
Austin Wurschmidt: Great, thanks for that. And then as far as development you mentioned the pipelines around $700 million at this point and you've got some projects that will wrap up here in the early part of 2019, what's the appetite to backfill these projects at the right level of development, we should be thinking about for you moving forward?
Ric Campo: We're very comfortable in the $200 million to $300 million development start annually going forward into 2019 and 2020. We have that pipeline of land or transactions that are in progress right now to be able to start those projects between now in 2019 and 2020.
Austin Wurschmidt: And then could you quickly just give the yield on the Buckhead development?
Ric Campo: On the development that we started?
Austin Wurschmidt: Yes, correct.
Ric Campo: Yes, so we started it's trending at around a six plus or minus. The interesting thing is when you think about the development cycle, we first started building or doing 10s, 10 cash on cash you can imagine that in Houston and Tampa back in 2010, 2011, and 2012 and over time as a result of increased construction cost and just the time it takes to build and the pressure in the market, the yields have compressed. But when you look at building to a six in the market today on an acquisition basis is still a 4, 4.25 just still making a very nice, nice spread over what we could get on an acquisition for the development risk and we get to build what we want as opposed to buying somebody else's building that wasn't necessary built by us for us.
Operator: Thank you. And the next question comes from Rich Hightower with Evercore ISI.
Rich Hightower: So I guess just a quick follow-up on the development question there, do you see that spread between market cap rates and yields compressing given the increase in the base rates combined with just this unabated cost acquisition on the construction side?
Ric Campo: Well, I think the issue becomes I think, yes, absolutely spreads have tightened compared to where they were in the past, right they were really, really wide and people are making wider spreads and they've ever made in my business career and so that it's gotten to the point where it's more normal, normalized 150, 200 basis points positive spread between acquisition and development on the development side. But I think and I think part of the issue is that -- it's really hard to get find transactions like that, that's why we're at $200 million to $300 million and not $500 million. And so it is more difficult to get deals done and to make the numbers work from that perspective. The thing that's interesting when you think about the 10-year treasuries obviously has gone up from the beginning of the year and people think about why haven't cap rates gone up as fast as the 10-year. And therefore thinking that prices have to come down and cap rates have to go up. But there is a massive wall of capital today that continues to flow into real estate and multifamily specifically sort of the darlings are multifamily and industrial with Amazon effect with industrial. We had a board meeting this week and we had HFF come in and update our board on current market conditions and they had a slide that showed $182 billion of unfunded real estate capital that needed to find a home and when you start thinking about apartments, when you think about cap rates, the 10-year is probably the last thing that influences cap rates, the first thing is liquidity and that's how much money is in the market trades and deals, the second is market fundamentals or operating fundamentals, supply and demand, the third is inflation expectations, and the fourth is 10-years. And when you look at the relationship of cap rates today, we have massive liquidity, we have pretty decent supply fundamentals and demand fundamentals and if the Fed is raising rates because they're worried about the economy getting overheated and inflation coming back will have multifamily plus defensive assets from that perspective, because you can really mark pretty much 8% to 10% of our leases to market every single month. So it’s a very sought after asset class unless there's going to be a massive change in liquidity or operating fundamentals or expectations or inflation, I don't see cap rates to anything but stand really sticky and prices doing nothing but going up because cash flows are increasing.
Rich Hightower: Okay. That's helpful and I think the wall of capital argument is it's an interesting one and if we -- let me ask this question, if we apply that to Houston clearly supply is going down next year and that's a very favorable set up but just given the quickness of the supply response in a market like Houston and given Camden's long standing experience, I mean how do you sort of expect that picture to evolve as we get further into 2019, I mean do you see permits accelerating again given that wall of capital that would presumably still be interested in multifamily in a market that's generating 80,000, 90,000 jobs a year or something like that and just given the fundamental dynamics there?
Ric Campo: Yes, Houston clearly has the best story in America right now, lowering supply, increased job growth a very dynamic market and so we do absolutely expect starts to increase and permit to increase in 2019 and 2020. The good news is that you can't build your project fast enough to really negatively impact probably 2019 and part of 2020. When you get down to it, the market is very transparent and I think that -- I think that's really interesting thought when you start thinking about supply and how you can turn it on and turn it off. In the past people thought of these markets like the sort of non-barrier to entry markets as always vulnerable to overbuilding. Well because of the transparency today in the marketplace, people who are making capital decisions on the equity and debt side of this business are -- they see everything that's out there and they know, they know what's coming, they know what the supply and demand dynamics are, when the supply and demand dynamics get out of whack they stop just like Houston from 20,000 units to 7,000 or 8,000 units this year. So I think that Houston will ramp up because it's the story but the question is how many can get done given the cost environment and given the return requirement issues.
Alex Jessett: Yes, just to put some numbers around that, that's all correct and Witten's got completions in Houston at 6,000 this year and I think that's -- that's going to be correct as it turns out, his projection for next year is 7,000 completions and he has that ramping up to 13,000 completions in 2020. So yes absolutely it's going to go up but 13,000 completions in a metropolitan area like Houston is wanted to get okay job growth is not going to be disruptive at all, that's below the long-term trend. So yes there is no question there's Houston is the best story out there right now and there's certainly a lot of activity right now predevelopment activity going on in Houston.
Operator: Thank you. And the next question comes from Alexander Goldfarb with Sandler O'Neill.
Alexander Goldfarb: Good morning down there and echoing John's comment, Alex, congrats on your timing on that debt issuance.
Alex Jessett: Thanks.
Alexander Goldfarb: So two questions here, the first just going back to DC the common market sentiment is that Amazon is going to pick Crystal City for HQ2. So just curious your thoughts on one the impact to your portfolio and then two just longer-term DC seems to be a great developers market not a great operators market, so your view is that Amazon announces it and suddenly all the developers do is ramp up and therefore the landlords really don't get the benefit or you think there may be some longer-term benefit for the landlords?
Ric Campo: Yes, so my take first of all I hope that would be perfectly -- hope you're right on, they are right and the prognosticators are right on Amazon that would be, that would be a great, great benefit to us and a lot of other people. We have a decent size footprint that would be impacted by that location decision no question about it. And as to the point on DC Metro it really hasn't been as much a supply challenge in DC Metro over the last couple of years, it just has been weaker job growth. I mean if you look at what's coming this year and we got about 10,000 completions in DC Metro in 2018 that looks like that ramps up a little bit to around 12,000 next year and then back down to 2020. So 100,13,010 [ph] in the entire DC Metro area that's not historically that wouldn't be real troublesome on the supply side. The challenge has been that if you look at job growth it looks like 2019 is on Witten's numbers is about 39,000 and yes that dropped to 22,000 in 2020. Now obviously Amazon is a game changer for all of that but unlike many of our other markets, it's really not high for supply in DC that's been limiting the ability to push rents there at the pace of the rest of our portfolio it's primarily been on the job side.
Alexander Goldfarb: Okay. And then the second question is your comments on preference for development versus acquisition seem to be sort of consistent with what's been going on in practicality but you guys went raised money over a year ago to go out and buy a bunch of stuff, that's proven more difficult, do you think that the jump in rate will spur some of these merchant guys who want to sell quicker just given how rising rates could impact their IRRs and maybe it's made their decision advance their decision or your sense is that the rise in interest rates will not change the pace that the merchant guys sell their product?
Ric Campo: Last year, we thought that might -- that would happen in 2018 and obviously it didn't. If you look at about the stats on sales in 2017 there was the number of multifamily sales was down from 2016 and we thought it was going to be down again for 2018 and turned out to be way up for 2018, so that could happen. I think there is definitely more merchant builder stress out there just from the standpoint of they've got product they need to sell to be able to reload their balance sheet because in the past like if you go back to sort of pre-Great Recession, the most merchant builders just keep building no matter what because they could guarantee debt with no tangible assets on their balance sheet and the banks will let them do it. Today the banks won't let them do it, so they do have to clear the asset in order to be able to reload their pipelines. So that is one difference that could impact and have the ability to get merchant builders at least more constructive on the selling at prices that we want to buy at. On the other hand we thought that that was going to happen in 2018 and didn’t what's happening what we're also seeing though is sort of instead of selling people refinancing and you could refinance a merchant builder deal with a high margin basically take all of your cash out including your equity and be sitting with a sort of more higher leverage transaction without any equity in it, so a fair number of them are doing that as well it's just holding the assets and putting them in a sort of a longer holding pattern. So I think that ultimately the merchant builders do have to sell. The question is are there going to be enough buyers to take up that inventory and I think right now there are. So that's why we decided to lower our acquisitions guidance and increase our development and when you think about our -- when we raise that capital, we talked about $500 million of acquisitions, so we just changed the mix a bit even though that does change the timing of when we are able to enjoy those yields but I think that might be the case in 2019 as well just given the capital, well the capital issue.
Operator: Thank you. And the next question comes from Rob Stevenson with Janney.
Rob Stevenson: All right. Good morning guys. Alex how much of the same-store expense savings are moving down from your 3.5% down to about 3% guidance for the year it’s the timing issue versus stuff that you expect to be sustainable into 2019 and beyond?
Alex Jessett: Yes, I mean, none of it is timing at all. It's as I said on a couple of past calls, you've got a couple of things that are occurring, number one people are just not getting sick as often which is really good news for all of us. But the second thing is, is that we're becoming very efficient on our R&M and our unit turnover cost and there is no reason to believe that that should not be easily replicated in future years.
Rob Stevenson: Okay. So like none of the savings here is from property taxes that could wind up spiking back up in 2019?
Alex Jessett: No. And in fact if you think about where we are, we started the year with a 4% same-store expense growth and we had assumed that property taxes will be 4.2%. We now assume property tax is going to be 6% and yet we're at 3.05% same-store growth, so property taxes were worse than we expected but all other categories were far better than we expected overcoming this unexpected increase in Atlanta property taxes.
Rob Stevenson: Okay. And then, Keith, of your better performing markets which have the smallest gap between new lease and renewal growth rates, I mean which are the ones that are closest to an inflection point there of meeting or possibly crossing in the future?
Keith Oden: So I would of our better performing markets the gap on new leases and renewals is falls up, every one of them falls in favor of renewals versus new leases. So and it's been that way for a number of quarters. If you kind of look out to, at our 2018 numbers, I think I gave you in my opening commentary were 5.5% on renewals and 3.1% on new leases. So I'm looking at the detail and I don't see a single one where we're upside down one way or the other on renewals versus there may be one or two markets but the preponderance of our markets continue to have renewals above new leases and my guess is that that probably tightens in 2019 but I'd be surprised to see if you had a shift in many of our markets between new leases and renewals.
Operator: Thank you. And the next question comes from Trent Trujillo with Scotiabank.
Trent Trujillo: Hi, good morning. Thanks for taking the questions. First one of your peers indicated that some of its markets haven't yet started the normal seasonal decline in rent growth that usually comes in the fourth quarter, so are you seeing this in a noticeable way across any of your markets in your portfolio and if so what would you attribute that to?
Ric Campo: Yes. And I think ours looks like it has historically and in fact I think you -- just you look at the data that that we have so far in October we're basically flat on new leases and 5% on renewals. So I think that that's typical and that's what we would expect and if you look at our -- kind of look at our budget what -- how we would have budgeted for the fourth quarter, that's pretty much in line with where we would expect to be. So no big revisions from our original forecast in our portfolio, so I'm not sure who that is maybe they have a very different footprint than we do, but we're seeing what we historically see in the fourth quarter.
Trent Trujillo: Okay, that's fair. And turning back to Houston just specific to the McGowan development, can you remind us where concession stand on that asset and what merchant builders are offering competitively in that area?
Ric Campo: Sure. The developments today in Downtown and Midtown and probably the Galleria are so offering one to two months free plus or minus it depends on the unit type and what have you that's very typical in the market still. And it’s interesting because that sometimes people will say well wait a minute, how are you growing your same-store portfolio revenue when there's too much free in the development market and it’s interesting because on the one hand, the people would expect that to translate into the marketplace but when you think about the number of units you have to actually lease and maintain your 95% plus or minus occupancy, it's not that many units. So you don't have a big pressure to give concessions in an existing portfolio when a development is say 50% occupied and every day it goes by without increasing that occupancy that revenue from that unit is lost, sort of like an airplane seat when it takes off. So merchant builders are very quick to the trigger on giving concessions and filling them up as soon as they can.
Operator: Thank you. And the next question comes from Alan [indiscernible] of Goldman Sachs.
Unidentified Analyst: Hey good morning. When we look at your lease spreads it seems to imply that same-store should be accelerating, the guides implies that 4Q is slowing, I'm not asking for a 2019 guide but are leasing spreads telling us the right thing or is it possible that occupancy or other factors that same-store can flow in 2019 while leasing spreads accelerate?
Ric Campo: Yes, again I'm going to refer back to the overall guidance that Witten has in his numbers if you look at overall U.S. he has rates going up about 50 basis points, you look at Camden's portfolios specific in our 15 markets, the same 50 basis point acceleration into 2019. So I think at the aggregate level and obviously you are going to have ups and downs and variances among based on the supply conditions in each of those -- each of our markets. But overall his judgment is, is that rents will be up our revenues are going to be up about 50 basis points in 2019 over 2018. We will know -- I will know better in a month or two how well our numbers are correlated with or not correlated with Ron's, but that's kind of his forecasting and he's we do back testing on all the stuff that he does and he's been pretty good over the years in terms of his forecast for revenue growth. So as we sit here today, that's kind of the best evidence that we have that looks like are in the Camden portfolio we should see -- we could in fact see a reacceleration in revenues in 2019.
Operator: Thank you. And the next question comes from Karin Ford with MUFG.
Karin Ford: Hi, good morning. Ric, I think you mentioned in your opening comments in migration into your markets from higher cost in tax regions, do you see any evidence of that and can you just talk about how you think that could contribute to demand?
Ric Campo: Sure the evidence is clear. If you look at just pull the last census numbers for the last 10 years, you'll see that domestic and migration -- domestic out migration of California is negative. I mean it’s just the whole -- you have people leaving California going to Phoenix going to Austin, Texas, and other places and you -- even though population has not declined in California for example obviously California is a good example because it’s so big. And it's easy to talk about; you've had increases in population in California primarily driven by immigration and births and taken down by out migration. And so those numbers are readily available via the Census Bureau and then when we just anecdotally when we talk to our Phoenix folks for example that will be a good example, we have a lot of folks that are running apartments that are from California. And if you look at another one, another interesting stat would be the cost of U-Haul, it's cheap to get to rent U-Haul from Phoenix to go to California but more expensive from California to Phoenix because they end up with all these excess U-Haul trucks in these markets and so it's definitely something that's going on and it's supporting our demand in our markets.
Karin Ford: Have you seen? I'm sorry, go ahead.
Alex Jessett: Yes, just some numbers around the migration because it is something that we track pretty carefully because it's been -- it has been a huge part of our story in terms of the 15 markets we operate in. So for 2019 across Camden's 15 markets its projected that we're going to get an overall in migration of 447,000 people into Camden's 15 markets. Now within that, the thing is interesting is we have two cities where it's projected to be negative and one is L.A. at an outmigration of 54,000, the other is Orange County with an outmigration of about 7,000. So those are -- that's included in the 447 positive, so we have two markets that without migration both in California, the other one is just Ric's point about Phoenix, so in 2019 L.A. is projected to have 54,000 outmigration, Phoenix is projected to have 54,000 in migration in 2019. So this is really an important part of the overall movement of people and to in large part to lower cost areas and less regulation and then I think that these numbers probably don't get to the impact of the overall -- the salt limitations on these high property in state tax states. So it will be interesting to see.
Karin Ford: That's great color. And then just my last question you mentioned that you improved your efficiency on turnover that's reflected in expenses but if you returned back to more normalized and average turnover levels, do you have any sense for how much that could impact expense growth?
Alex Jessett: So we've been at this level of turnover now for a couple of years, we have to do some math around if there was some sort of dramatic increase in move-outs than what the impact would be. But I would tell you this point if sort of looking at trends, the trend seems to be that we're going to have lower turnover for longer based on what we've seen last couple of years.
Ric Campo: And part of our expense control has been, as I mentioned in my beginning my comments was our attack to run rate initiative. And that’s about -- it's about focusing on small ticket items onsite and in our corporate office. That sort of just gets done because we've been doing it for a long time and it's really focusing in on and making decisions on a lot of small stuff that adds up to actually have pretty nice, nice number. And that focus even though we are focused on our operating expenses all the time this is sort of a intense focus on making sure that that every dollar that's going out the door is either a revenue enhancing dollar or marketing dollar or one that can be justified from a business perspective and that's had a really big impact and our teams have done a great job sort of embracing that concept. And I think often times when times are good, you get a little bit, it's just a little easier to have expenses that kind of creep on and we're now at the point where our teams have really embraced this attack to run rate and the idea is it's the run rate right, it's not let's just save money this quarter or let's just save money this year, let's make sure that it's permanent and that it's in the run rate, so that 2019 benefits from it as well.
Operator: Thank you. And the next question comes from Rich Anderson with Mizuho.
Rich Anderson: So, Ric or anyone when you think people are trying to get 2019, let me see if I can get 2020 guidance out of you? So --
Ric Campo: At least that's novel.
Rich Anderson: So what do you think about supply obviously Millennials demand at least changing as they get older, weakish single family home market and of course interest rates. When you look further out is 2018 let's pass 2019 and go into 2020 and 2021, do you see the business basically better three or four years from now than it is today or is it sort of sideways moving because it's our sense that the days of high-single-digit growth at the multifamily REITs even in the best of times is probably over and it's more like a CPI plus type of business, wondering how you feel about kind of all these longer-term observations?
Ric Campo: I feel pretty good about our business long-term or mid-term; you can't go out more than 2020 or 2021. But if you think about the business, the fundamentals of the business, we're not getting disintermediated by Amazon, we're not -- we don't have issues like that single family homes still are hard to get, the average near median price of home is up, incomes are not as high are not growing as much and you have interest rates popping up, so it's made that homeownership more difficult even though from a demographic perspective we know that it's not so much the money as it is the demographic position of people. They’re waiting longer to have to have kids and get married and form households that would create demand for homes. So with that said, I think our business is going to be reasonably good for the next two or three or four years and barring any major calamity or recession or whatever, I think also that the pressure on merchant builders and development continues to be -- to be there and I think that ultimately that you will see a peak in the supply and then the supply sort of coming down in 2020, 2021, 2022 unless we have -- let's just 3.5% GDP continues and job growth continues and we have more legs up. So I feel pretty good about our business.
Rich Anderson: So 2020 better than 2018?
Ric Campo: You know, it's a hard thing to say today but I would when people ask me about how I feel about our business over the next three to five years, I feel really good about it now if we have a recession between now and then all bets are off and if something changes dramatically there but if you sort of how -- if you told me that 2018 you have the same sort of supply and demand economics, the same job growth with interest rates maybe up a bit, I would say that those year is going to be good for multi-family.
Keith Oden: So Rich, I would just add to one of the points that you raised which was the weakness in home sales which continues to be really puzzling or at least puzzling to a lot of the people to that on the homebuilder side of things. But I think that it shows up in our numbers in the move-out to purchase homes and you know conventional wisdom six or seven years ago was that the Great Recession was a cyclical event and that home ownership rate collapsed as a result of the housing bust in the Great Recession and that most people prognosticators, I think at the time really believed that the homeownership rate would drift back up but eventually it would get back up to the 18% or 19% in our portfolio that we historically saw before 2007. And it started, and it did, it bottoms home ownership move-out to purchase homes bottoms at about 9.7% in our portfolio which was crazy low and then it started to drift back up. But just if you look at the numbers in our portfolio over the last year, it looks like we're getting kind of compish on the move-out number and we're back down to 14.3%, we got as high as in the low 15s. But we're still so far away from what you wouldn't think as a normal move-out to purchase homes rate in our portfolio that I think you just got to start rethinking the cyclical versus secular argument in homeownership rate. And if this is where we're going to be, then the metrics that we need going forward in terms of what the new supply, how much new supply could be dealt with, how many new jobs it's going to take to maintain the demand for multi-family in the traditional range, you get to rethink all of those. I'm not telling you that, it's almost never different this time but it's been really different this time for a long time in home ownership move-outs to purchase homes and it looks right now in the data, it started to drift back down and it’s supported by the fact that I think a week ago or so, they announced one of the lowest new home sales or home sale numbers in a decade. So it’s just -- it’s an interesting time and I think that Ric's right, if you have to be on one side or other of that argument, I would prefer to be on our side of the argument.
Operator: Thank you. And the next question comes from John Pawlowski with Green Street Advisors.
John Pawlowski: Yes, thanks for your comments on the reasonable cadence of development starts is $300 million in acquisition volume in next year a fair betting line?
Alex Jessett: We haven't really gotten to that point yet. We've sold a lot of properties and really turned the portfolio over a big time in last three to five years. So we don't have a lot of low hanging fruit in terms of dispositions. So it really just depends on what kind of market we have next year but I don't see it being a robust acquisition here given what we're hearing and what we're seeing right now. But we haven't really summed in our guidance yet.
John Pawlowski: Okay. Some of the really competitive markets think of the Phoenixes of the world where cap rates, I don’t know if you agree or perhaps you rationally low right now, would you ever do something tactical and not a full market exit but take another truant to dispositions to sell into that competitive bid and perhaps reposition into a market outside your current footprint that you think is less or more undepreciated?
Ric Campo: Well, ultimately we have exited markets in the past right. We exited Las Vegas kind of at a time where we thought and we knew it was accelerating but because of the portfolio of quality, it was really important for us to move-out of that market. We like the markets we’re in for all the right reasons and the issue with tactical, it sort of hurts my head a little on the one hand you can take advantage of low prices but then what you do with the capital and the risk associated with the transaction, just reinvestment risk issues. If I really like the property long-term, it's hard for me to replace that property long-term, I'm taking risk of -- execution risk between getting that done, so we have lots of scenarios that go through well should we sell our lowest cap rate deals or highest cap rate deals and how does that affect us long-term and when it makes sense to do, we do given that we've sold $3 billion of properties in the last five years and done couple of billion at development and a billion of acquisitions. But so we look at that and clearly it’s sometimes it's interesting and sometimes it's not, I'm not sure what we're going to be doing over the next year or two in that regard though.
Operator: Thank you. And the next question comes from Hardik Goel with Zelman & Company.
Hardik Goel: Just wanted to get more detail on the expense side, so when you look at taxes, has there been some sort of appeal success or something of that nature that's lowered the taxes as you would have expected them at the beginning of the year and what's kind of your sense of how that's going to trend?
Ric Campo: Yes. I mean once again we started the year thinking that property taxes are going to be up 4.2%, we now think they are going to be up 6%, that delta is entirely driven by higher than expected tax values in Fulton County in Atlanta. And so that sort of we're having with property taxes. I think if you're looking at year-to-date property taxes and you're trying to understand how we get to the 6%, you can't forget that in the fourth quarter of 2017, we had about a 1.05 million of property tax refunds almost entirely in Houston and that is not going to be replicated. So that’s the delta, if you’re looking at our year-to-date and you're comparing that to full-year which once again we think is still 6%.
Hardik Goel: Got it. That makes a lot of sense. And just one more question on your comments regarding supply, you guys talked about better visibility and you have the ability to see further now than ever before as you look out where do you see supply really peaking, where you can say it's going to peak and then decelerate steadily is it 2020, is it 2021 where does supply go down meaningfully from?
Keith Oden: We had numbers out through 2020 and these are Witten numbers, he has got the completions in 2020 across Camden's portfolio basically flat with 2019 which is only slightly down from 2018. So if you're thinking big picture Camden’s platform, 138,000, 136, 138 is the progression of Witten through 2020. I think 2021 and 2022 would be the first years where you could have a shot at meaningfully less deliveries. And that is function of all the push and pull and pressures that Ric has described that the merchant builders are dealing with. But you know they're persistent and they're crafty and if there is a deal that can get done, they will figure out a way to do it, I just think that the math is getting so difficult and as Ric mentioned, they’re pretty stretched in terms of their total capacity to hold what they have and then start a new round even if they can get the numbers to pencil. So I think it’s possible in 2021 and 2022 you would see a meaningful pullback in supply for the first time in years.
Operator: Thank you. And the next question comes from Daniel Bernstein with Capital One.
Daniel Bernstein: Just don’t want to get too academic but wanted to follow-up on conversation you had with Rich, are you seeing any change in the average age of people living in your buildings and maybe the average age of people are moving out to home ownership?
Ric Campo: Well, first of all we are hearing -- seeing anecdotally more sort of baby boomer, boomers moving in and these are people that lived in suburbs whose kids are gone, they live in a big house, traffic is still pretty awful across America. So they are moving into the city and into the urban core. And we have some properties for example in Houston in the Galleria that where the average age is probably 10 years older than our average age in our portfolio primarily because the rents are much higher and you have to have somebody in their 50s who are -- who has more income to be able to pay for that high rent property. And I think one of the things that's driving that to a certain extent it's not just the traffic and the desire for people to be more walkable and more closer to amenities like the arch and things like that. But one of the things over the last 10 years that's really happened in the cycle of development is that the properties are not your 80s, 90s versions of apartments. And when those baby boomers walk in it's like a hotel all the amenities are just, really high end, the finishes are as high end as any for sale condo and so the product is more appealing to folks like that today than it was in the past, so it's a definitely a migration. If you look at the statistics too on the propensity to rent, propensity to rent is always very high up until the mid 30s and then it starts falling off and then you have a propensity to own. And over the last seven or eight years the propensity to rent is increased for people over 50 and into their 60s and that is the -- that is a change. Fannie Mae actually just did a study that you can find on the NHMC website or Fannie Mae website that shows that increased propensity to rent for older people. And I think that is that's definitely a positive for our business there is no question about that. In terms of average age I think it's pretty much hasn’t really changed dramatically maybe a year or so here and there. And then in terms of people moving out to buy houses that because it's so low today. The age is definitely increased for people to buy houses, because they have student debt they have to pay off and issues like that have limited their ability to buy a house.
Daniel Bernstein: Yes, I didn't know how much you track that specifically relative to the current situation, so just asking about that. The other question I had was involves the -- you had a conversation on the gold cap rates and I agree with everything you said the interest rates are kind of the last thing are going to move the cap rates. Have you seen increase in leverage that buyers -- that world private equity is using to get their IRRs and I mean easy to track the GSTs, it's easy to track the banks it's not as easy to track though actual LTVs that are in the non-bank financials out there, I don't know if you had any thoughts on whether leverage is increasing, LTV's are increasing for those private equity buyers.
Ric Campo: I think the answer is no. I think that the leverage is non increasing, people aren’t using more leverage to get yields as a matter of fact there's a whole lot of very low leverage and no leverage buyers in the marketplace, where they're not putting any debt on the property. So I do think as far as when they do leverage more than half of all the loans that are getting done in multifamily are floating rate loans and when you look at the at the forward curve on LIBOR for example you can buy really achieve caps, so people are on a relative basis so people are floating more than they're fixing and their leverage levels are not as high as they -- as you would normally expect.
Daniel Bernstein: Yes, now just think you would be going up at this point in the cycle and get more cap rates are that's good color. I appreciate it. I'll hop off.
Operator: Thank you. And there are no more questions at the present time. So I'd like to return the call to Ric Campo for any closing comments.
Ric Campo: Great, we appreciate you being on the call today and we will be at NAREIT in the next couple of weeks and I'm sure see a lot of you there. So thank you very much and see you at NAREIT.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.